Operator: Thank you for standing by, and welcome to the Honeywell Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's call is being recorded. I would now like to hand the call over to Sean Meakim, Vice President of Investor Relations. Please go ahead.
Sean Meakim: Thank you. Good morning, and welcome to Honeywell's Third Quarter 2025 Earnings Conference Call. On the call with me today are Chairman and Chief Executive Officer, Vimal Kapur; and Senior Vice President and Chief Financial Officer, Mike Stepniak. This webcast and the presentation materials, including non-GAAP reconciliations, are available on our Investor Relations website. From time to time, we post new information that may be of interest or material to our investors on this website. Our discussion today includes forward-looking statements that are based on our best view of the world and of our businesses as we see them today and are subject to risks and uncertainties, including the ones described in our SEC filings. This morning, we will review our financial results for the third quarter, share our guidance for the fourth quarter and provide an update on full year 2025. As always, we'll leave time for your questions at the end. I'll turn the call over to Chairman and CEO, Vimal Kapur.
Vimal Kapur: Thank you, Sean, and good morning, everyone. Honeywell continued its strong 2025 performance in third quarter. Growth in organic sales took another step up and finished ahead of expectations, driven by our commitment to developing new solutions that solve our customers' most challenging problems. Better top line results translated into earnings well above our guided range, while strong orders across the portfolio demonstrate early results of our focus on innovation. Our excellent third quarter performance is powering another increase in our full year guidance. We are raising our 2025 EPS guide for the third time this year even as we incorporate the impact of impairing spin-off of Solstice Advanced Materials. Barely a year since we announced our intent to separate Advanced Materials, today, we are a week out from Solstice's first day of trading as an independent company. Our swift progress to this point demonstrate our ability to diligently execute carefully crafted work plans with speed and efficacy. We have the right resources in place to deliver on both our portfolio transformation and our businesses, financial and operational targets. We will carry the learnings and momentum from Solstice to next year's separation of Aerospace. As we look to our future as 3 independent companies in 2026, we are proactively planning to realign the structure of our automation business at the beginning of next year to reflect how we will operate going forward. This move is another significant step in our simplification of Honeywell, which will provide the strategic focus, organizational agility and tailored capital allocation to grow faster and drive value for all our stakeholders. Please turn to Slide 3 for the latest update of our separation. A couple of weeks ago, Solstice held a well-attended Investor Day in New York, where David Sewell and his new management team presented a compelling vision for the new specialty materials company and how its rich history and new independent strategy will unleash its growth potential and unlock long-term stakeholder value. A week from today, on October 30, Honeywell shareholders will receive new shares of Solstice, which will begin trading as a separate public company. I want to thank the teams that achieved this important milestone well ahead of the original schedule to complete by early 2026. I'm extremely excited for the opportunities in front of Solstice, and I will be cheering on the success in the years ahead. As our planned separation of Aerospace in the second half of 2026 approaches, our Board has been intently focused on assembling a Honeywell Aerospace leadership team with the right mix of industry, company and capital market experiences to maximize value for our customers, partners, employees and our shareowners. We expect to make an Aerospace leadership and headquarter announcement later this year. The separation of Aerospace brings the opportunity to further simplify Honeywell Automation. As a result, we have proactively designed a new, simpler structure aligned to the future of the business, which I will discuss in more detail in the next slide. As we seek to better position the future independent aerospace and automation companies for success, we have opportunistically completed transaction to simplify the legacy liabilities left on our balance sheet. During the third quarter, we entered into an agreement to divest all our Bendix asbestos liability on attractive terms for all parties. We also terminated an indemnification and reimbursement agreement with Resideo in exchange for $1.6 billion in cash. In combination, these transactions resulted in net cash inflow and will simplify and derisk our balance sheet, providing the company with fewer administrative burdens and greater financial flexibility to focus on creating value for our core business. On Slide 4, I will go over segment realignment in more detail. We announced yesterday that we are planning to reorganize the Honeywell Automation segment into a simplified structure focused on cohesive, synergetic business models. I'm pleased to take this next step in evolving Honeywell's streamlined portfolio with the aim of unlocking incremental value and driving long-term growth and margin expansion. As such, effective beginning of first quarter of 2026, we plan to report 4 business segments: Aerospace Technologies, Building Automation, Process Automation and Technology and Industrial Automation. Ahead of upcoming aerospace separation, this new structure serve as an elegant way to continue simplifying the RemainCo portfolio and align our external segment to the way we are increasingly driving our operation through consistent business models. Our differentiated approach underscores our ability to grow our installed base in 2 ways: by selling mission-critical products through channel and by delivering strategic projects for our customers. We then mine this installed base by providing customers with high-value outcome-based solution with a combination of software and services. The 3 RemainCo reporting segments will be organized into 6 strategic business units with each of our businesses aligned to our unified automation strategy, enabling us to solve enterprise-level challenges and help our customers achieve new level of optimization with the Honeywell Forge platform. Aerospace reporting is unchanged ahead of separation in the second half of the next year. The new structure will allow us to better prioritize R&D efforts, capital expenditure and go-to-market strategy with a growth mindset. Building Automation will continue to be a leading provider of unified building automation solution, delivering safer, more sustainable, integrated buildings and infrastructure assets and maintain its Products and Solutions business unit structure. Process Automation and Technology is a combination of core Honeywell Process Solutions and UOP, the global leader in process technology. These businesses have developed powerful commercial synergies, enjoy leading position in process market globally with vast installed base and share very similar business model characteristics. PA&T will report projects and aftermarket business units. Industrial Automation's portfolio of products and solutions businesses include mission-critical offering with proven reliability and tenured channel relationship, positioning us to benefit from ongoing global reshoring thematics. With this realignment following the separation of Aerospace next year, Honeywell will be a premier pure-play automation company, leading the future of automation through high ROI outcome-based solution for customers across a large addressable set of markets. And as we continue our journey of transforming the portfolio, I would like to highlight another lever of value creation with the recently announced Quantinuum capital raise on Slide 5. Four years ago, we formed the world's most advanced full-stack quantum computing company. It has rapidly progressed quantum technology along the path to universal fault-tolerant computing, a more than 2-decade pursuit then it is soon to be realized. Technological progress has driven fundraising momentum. Less than 2 years after completing an equity capital raise at a $5 billion pre-money valuation, the company announced in September a second raise at double the prior valuation. As important as the capital contributions will be to advancing the development of quantum computing at scale, the collaboration with new shareholders such as Quanta and NVIDIA in addition to others like JPMorgan, Amgen and Mitsui may prove even more critical. Quantinuum's fundraising efforts have led to a new partnership that will support the development of critical applications for improving drug discovery, government and military cybersecurity and encryption for large financial institutions. While we are tremendously excited about the future of the business, we recognize we are not the best long-term owner, and it will eventually need its own capital structure to fully exploit its growth potential. As a result, Honeywell will seek to begin monetizing its stake in the company at the appropriate time in a manner that will create meaningful value for Honeywell shareowners. The most recent capital raise will sustain Quantinuum through that point in time. I will now turn the call over to Mike to go through our third quarter results beginning on Slide 6.
Mike Stepniak: Thank you, Vimal, and good morning to everyone joining us. Honeywell delivered exceptional third quarter results, again, exceeding the high end of organic growth and adjusted earnings per share guidance as we have done each quarter this year. Organic sales accelerated to 6% year-over-year, led by return to double-digit growth in Aerospace and fourth straight quarter of high single-digit growth in Building Automation. Orders grew 22% organically from the previous year to $11.9 billion. While wins for long-cycle aerospace and energy projects led the way, the increase was broad-based with order growth accelerating in each of our 4 segments and an overall book-to-bill above 1. The results are encouraging and an early demonstration of our focus on growth through innovative new products and the impact of our increased R&D investments. This impressive commercial performance pushed our backlog up to yet another record, which positions us well for future growth. Segment profit increased 5% from the prior year, with segment margin meeting the high end of our guidance range, led by ongoing margin expansion in Building Automation. Earnings per share in the third quarter was $2.86, up 32% from the prior year. Adjusted earnings per share was $2.82, up 9% year-over-year as strong segment profit growth and lower effective tax rate more than offset higher interest expense. You can find additional information on the year-over-year changes in the third quarter adjusted earnings per share in the appendix of our presentation. Third quarter free cash flow was $1.5 billion, down 16% from the prior year because of the capital expenditures timing and modestly higher working capital to support our sales growth. We maintained our disciplined capital allocation approach in the quarter, returning $800 million to shareholders while committing $400 million to high-return capital projects and completing 2 technology tuck-in acquisitions. Now let's move to Slide 7 for a discussion on our third quarter segment performance. I will provide a brief overview of results with additional commentary included on the right-hand side of the slide. Aerospace Technologies grew 12% organically, led by strength in both commercial aftermarket and Defense and Space. Commercial OE returned to growth as expected as our sales recoupled to the delivery rates of our large customers. Orders momentum continued with strong double-digit orders growth across all 3 end markets and book-to-bill of 1.2. On a year-over-year basis, segment margin decreased 160 basis points to 26.1% as commercial excellence and volume leverage were more than offset by cost inflation and acquisition-related headwinds. However, sequentially, margin improved 60 basis points on strong quarter-over-quarter volume supported by improved supply chain performance. Industrial Automation sales returned to growth in the third quarter, increasing 1% organically and exceeding our guidance range, led by continued strength in our Sensing business. Segment margin in Industrial Automation declined 150 basis points from the prior year to 18.8% as commercial excellence and productivity benefits were more than offset by inflationary pressures. Building Automation again delivered high single-digit growth for the quarter. Organic sales increased 7% from the previous year, driven by strength in both building solutions and building products. Regionally, North America and the Middle East led while Europe grew organically for a fourth consecutive quarter. Margin expanded 80 basis points year-over-year as we leverage our strong volume performance. Energy and Sustainability Solutions performed in line with expectations in the third quarter, down 2% organically. Strong refrigerants performance in Advanced Materials was offset by licensing and catalyst delivery delays in UOP. Segment margin was flat versus the prior year at 24.5% as onetime government reimbursement for past legal costs and the lift from margin-accretive acquisition offset cost and volume headwinds. Let's turn now to Slide 8 to discuss our updated outlook for the year. Our guidance for the year now incorporates the impact of Solstice's separation from Honeywell at the end of October. The spin is expected to reduce 2025 sales by $700 million, adjusted earnings per share by approximately $0.21 and free cash flow by $200 million. Even with this impact, we're again raising our 2025 organic sales and adjusted earnings per share guidance as we fully pass through our strong third quarter segment profit and net income growth into our improved outlook. On a like-for-like basis, our free cash flow expectations for the year remain unchanged. Now I'll turn to Slide 9 to provide more details on fourth quarter and full year guidance. We are taking up full year organic sales growth guidance by 150 basis points from the midpoint of our previous range. We now expect growth of approximately 6% for the year or 5% when excluding the prior year impact from the Bombardier agreement. This new outlook builds upon our strong sales momentum in recent quarters while maintaining a pragmatic approach in the face of elevated geopolitical tensions and macro uncertainty. Full year sales are now projected to be $40.7 billion to $40.9 billion. We anticipate a fourth quarter organic sales growth of 8% to 10% or 4% to 6%, excluding Bombardier, which translates to sales of $10.1 billion to $10.3 billion. For the full year, we now expect our company segment margin to be up 30 to 40 basis points or to be down 40 to 30 points excluding Bombardier. We're anticipating modestly lower margins versus prior guidance, a result of reduced expectations for project licensing, catalyst shipments and certain short-cycle Industrial Automation products, which carry high incremental margins. We are offsetting most of these headwinds by leveraging our strong volume growth and utilizing our accelerated operating model to implement productivity actions. In the fourth quarter, we expect segment margin to be in the range of 22.5% to 22.8%, up 160 to 190 basis points or down 120 to 90 basis points, excluding Bombardier. We now anticipate full year earnings per share of $10.60 to $10.70, up 7% to 8% or up 5% to 6%, excluding the impact of both the 2024 Bombardier agreement and the impending Solstice spin-off. Earnings per share in the fourth quarter is expected to be $2.52 to $2.62, up 2% to 6% from the prior year or down 6% to 3%, excluding the effects of Bombardier and Solstice. I will give additional details on changes to the full year EPS guidance later in my prepared remarks. We expect free cash flow between $5.2 billion and $5.6 billion, down 2% to up 5%, excluding the effects of Bombardier and Solstice. We provide additional information on the changes in the year-over-year free cash flow in the appendix of the presentation. For the first 3 quarters of the year, we have deployed $9 billion for share repurchases, acquisitions, dividends and capital projects. Going forward, we will continue to be opportunistic in allocating additional capital beyond debt already committed to the highest return opportunities. Please turn to Slide 10 for details on our segment level outlook for the year. In Aerospace Technologies, we are raising our expectations for full year sales growth to be low double-digit range or high single digit when excluding the impact of the 2024 Bombardier agreement. We expect robust Defense and Space growth to continue as our supply chain is improving and our global demand is benefiting from ramping national defense budgets. Commercial aftermarket sales should expand at a healthy rate with air transport growth outpacing business aviation. We anticipate commercial OE sales growth to accelerate for the remainder of the year as our shipments progressively realign to build schedules. For the fourth quarter, we expect Aero organic sales to be up double digits or high single digits, excluding Bombardier, led by Defense and Space. Commercial aftermarket growth should moderate from third quarter levels towards the longer-term trend. Excluding the year-over-year impact of Bombardier, commercial OE should grow faster than the prior quarter. We anticipate the second quarter marked the low point of Aerospace margins and fourth quarter margins will be comparable to the third. For the full year, margins are expected to be approximately 26% as volume leverage is more than offset by transitory integration headwinds from the CAES acquisition and cost inflation from tariff pressures temporarily outpacing pricing. In 2026, as pricing aligns with tariff costs, OE shipments of electronic solutions recouple with build rates and integration costs from the CAES acquisition subside, Aerospace margins are well positioned to increase from 2025 levels. For Industrial Automation, third quarter outperformance is compelling us to raise our full year top line expectations for a second consecutive quarter from down low to mid-single digits to down only low single digits. Positive order growth in the third quarter was encouraging, though it was uneven within both long- and short-cycle businesses, such that it would not yet be prudent to confirm a sustainable upward trend. As a result of these mix dynamics and a more challenging prior year comparison, we expect fourth quarter sales to be down low single digits. Continued momentum in smart energy and steady performance in Sensing and warehouse automation should offset modest demand headwinds in productivity solutions and services and short-term project pushouts in core process solutions. We now expect to see margin contraction in Industrial Automation for the full year on increasingly unfavorable mix with similar margin performance in the fourth quarter. In Building Automation, we continue to anticipate full year organic sales growth in the mid-single-digit to high single-digit range, supported by strength in the U.S., Middle East and India and highlighted by robust demand in data centers, health care and hospitality. For the fourth quarter, we expect sales to be up mid-single digits with momentum from strong orders across both products and solutions. We anticipate a fifth consecutive quarter of organic growth for products to be broad-based across fire, BMS and Security. Solutions should continue to drive solid year-over-year growth in both projects and services. We expect margins for the full year and the fourth quarter to expand meaningfully as tailwinds from volume leverage and productivity actions continue. In Energy and Sustainability Solutions, we will limit our guidance commentary on Advanced Materials given its pending separation as an independent company. We are maintaining our full year ESS sales growth guidance of flat to up slightly and anticipate fourth quarter sales to be down low single digits year-over-year. A difficult macro backdrop for energy has weighed on our near-term guidance, but the long-term outlook remains strong. A third quarter increase in UOP orders of 9% is a signal of growing underlying demand from our customers, and we have good visibility into projects order strength continuing. On segment margin, we anticipate a meaningful fourth quarter contraction, resulting in a roughly 1 point reduction for the full year. Lower high-margin catalyst and licensing sales are offsetting commercial excellence and uplift from the LNG and Sundyne acquisitions. While cost inflation and market headwinds have presented a margin challenge in 2025, we're taking meaningful steps to address ESS cost structure and expect to return to margin expansion in 2026. Let's move to Slide 11 to go through updates on our 2025 EPS walk. Our earnings growth attribution comments separate out the year-over-year impact of Solstice spin-off at the end of the month, which is anticipated to reduce adjusted earnings per share by $0.21. We now expect segment profit growth, both organic and contribution from acquisitions to add $0.63 to adjusted EPS for the full year, $0.10 better than our previous view as we fully flow through better-than-anticipated third quarter operating results. Third quarter outperformance versus the midpoint of our guidance range benefited from a lower effective tax rate and reduced below-the-line expenses, which were also benefiting the full year. Fourth quarter segment profit contributions to earnings are in line with our prior expectations as better Aerospace growth offsets margin headwinds in Energy and Sustainability Solutions and Industrial Automation, as discussed earlier. We anticipate reduced year-over-year below-the-line headwinds of $0.39 per share as repositioning will be at the low end of our prior range. Additional below-the-line details are available in the appendix of the presentation. We now expect our full year effective tax rate to be 19% compared to 20% previously, adding $0.13 to adjusted earnings per share. To summarize, we anticipate 2025 adjusted EPS to grow at a mid-single-digit rate when excluding the impact of the Solstice spin and Bombardier agreement. Now I'll hand the call back over to Vimal to finish our prepared comments on Slide 12.
Vimal Kapur: Thanks, Mike. Honeywell again exceeded its initial commitment in the third quarter as Aerospace execution returned that business to double-digit year-over-year growth. With orders increasing in each of our 4 segments, we are getting good returns from dedicating the right level of resources to creating new solutions to sell into our large global customer base. As just one example of our recent commercial success, Gulfstream recently announced that Honeywell's engines and avionics will power its new super midsized G300 business jet platform, which will offer superior range, efficiency and safety to current comparable aircraft. This win is a testament of our ability to stay at the forefront of leading-edge technologies that matter most to our customers. We are going into the final quarter of 2025 from a position of strength with operating momentum leading us to raise our guidance for the third time this year even as a shifting macro environment requires a high level of agility to deliver these results. We are pleased by the performance of our acquisitions since 2023, which continue to help us shape our portfolio and deliver higher growth and margins. Our commercial and operational momentum are building into 2026, which will be a historic one for Honeywell. At the same time, we are operating with the same commitment to operational excellence that has defined Honeywell for decades. While 2025 was affected by a number of headwinds, including heightened economic uncertainty, incremental tariffs, and significant cost inflation, we have already begun taking action to position our aerospace and automation businesses to return to underlying margin expansion in 2026. As we prepare Aerospace to begin its journey as a leading independent company next year, we expect to begin 2026 operating under a new structure that aligns to how we will deliver the future of automation, giving us a running start post separation. Increasingly, customers across end markets face similar structural challenges such as skilled labor shortages, aging infrastructure, operational inefficiencies and elevated energy and maintenance. As value creation shift towards harnessing the power of data to solve enterprise scale challenges and achieve new level of transformation, we are streamlining our business units centered around cohesive business model for addressing these issues. This segment realignment exemplifies our effort to simplify our whole organization to focus on actions that creates the highest value for our stakeholders. Reducing distraction from legacy liabilities, reviewing strategic alternatives for parts of our portfolio that do not fit our business model and acquiring complementary technology through bolt-on and tuck-in acquisitions all demonstrate our commitment to optimizing our business for future growth and value creation. And finally, Quantinuum's recent capital raise and technological leap forward, delivering the promise of quantum computing, which the company will demonstrate in coming weeks, move Honeywell closer to realizing the value of its pioneering investment in this space. With that, Sean, let's take questions.
Sean Meakim: Thank you, Vimal. Vimal and Mike are now available to answer your questions. We ask that you please be mindful of others in the queue by asking only one question and one related follow-up. Operator, please open the line for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Nigel Coe with Wolfe Research.
Nigel Coe: Just wanted to maybe kick off with the 4Q margin for ESS. And I'm just doing the quick math here, it implies 3 to 4 points of decline year-over-year. So I just want to make sure, number one, that math is correct. And secondly, is the Advanced Materials Solstice spin losing 2 months of that? Is that having a material impact on that year-over-year?
Mike Stepniak: So I would first highlight that within the ESS, we see LNG doing extremely well in that business. So that we see really good project activity, and that's progressing well. Orders are up. What do we see in the fourth quarter, we see a little bit of transitory, I would say, softness in margins, and that's predominantly driven by mix. So we see catalyst pushouts to continue. It's affecting us in the fourth quarter. But generally, I would say that ESS will normalize as we progress through 2026, back to its historical margins. And then on Advanced Materials. Advanced Materials was a little bit, I would say, accretive to the overall portfolio, but we're working for that as we are setting up for 2026.
Sean Meakim: And Nigel, this is Sean. I'll just remind you that the ESS business in Europe, in particular, typically has a seasonal build and both volume and mix favorability from 1Q to 4Q. If you recall, we had an unusually strong second quarter, which we called out at the time. And so really that full year fourth quarter impact is not that severe. It's really just a timing factor of where things came in at second quarter versus traditionally being higher in 3 and 4Q. And so I emphasize just the timing is more of a factor than anything else.
Nigel Coe: Okay. That's actually my follow-up question. Number one, did we see these pressures in 3Q and this government service -- the government settlements maybe offset that? Just wonder if you can maybe quantify that. And then do you think that this -- we see that mix shift in the back in the first half of next year? Or do you have that visibility at this point?
Mike Stepniak: So like I said, I think from the order activity standpoint, the order activity on big new projects is quite strong, and we'll continue to see that in the fourth quarter. From a revenue conversion standpoint, given these are big capital projects, they start converting to revenue probably in the second and second quarter and then the second half. From a catalyst standpoint, based on how customers order and ordering pattern, we see that improving next year as well, but don't see that volume in the fourth quarter. And like Sean said, we usually see fourth quarter seasonality in the business, and we didn't see it this year because a lot of that volume came to us in the second quarter. So there will be a little bit of a gap in the fourth quarter as far as ESS margins.
Vimal Kapur: But all things said, Nigel, we expect ESS margin to expand in 2026. It's a transitionary thing. At the end of the day, we are positioning the business for growth. The LNG segment is doing extremely well. Sundyne is doing extremely well. The overall projects, as Mike mentioned, is performing at an order rate of 8% growth in Q3. We expect solid Q4. So it's just really a transitionary effect on the catalyst volume. And we think that will adjust in 2026 and we should have a more year more on expected lines, we're expanding our margins in 2026.
Operator: Our next question comes from the line of Julian Mitchell with Barclays.
Julian Mitchell: Just wanted to start with the IA segment as it seems there's a lot of different moving parts inside it. You flipped to organic growth in Q3, I think, for the first time in a couple of years, but it sounds like that will reverse in the fourth quarter. So just trying to understand, is that a function of something moving the wrong way again in short cycle lower? Or is it more a function of the large project delays in the longer cycle business? And trying to understand on margins, I think there was a comment on similar margin in Q4. So does that mean it's a 19%-ish margin? And are there any onetime kind of headwinds on that as we're thinking about next year?
Mike Stepniak: Yes. So I would say from IA standpoint, the orders are looking -- I would say, they were looking strong in 3Q. But as you know, we have a lot of timing variability as far as the larger orders, especially in our warehouse automation business. So we're monitoring that. But generally, I would say, vis-a-vis where we started the year, we feel much better about the business and the progression. So from a margin standpoint, margins should grow sequentially in the fourth quarter for IA. There aren't really any one-timers, and the team is positioned to expand margins in 2026 as well. So we have good visibility to margin expansion in IA going to 2026. Backlog is improving. that's giving us, I would say, good leverage from a fixed cost standpoint, and we have good visibility to pricing.
Julian Mitchell: That's helpful. And then just my quick follow-up on the Aerospace division. Maybe give us some update on where we stand on that destocking? Do you think it's largely behind you now on the commercial aero side? And should we assume that, that 26% margin rate, again, that's a good placeholder into next year, barring violent swings in mix?
Mike Stepniak: Sure. So super happy with how the Aero team performed in the third quarter, and I think you will see more good news from Aero team as we go to fourth quarter and next year. I would say, from a margin standpoint, 2Q '25 was probably the bottom, and you should continue to see sequential improvements on margins going to 2026. And on recoupling, I think that's largely behind us. I think commercial, we will sequentially improve growth rates in the fourth quarter as well. And we should have a good print on Aero in 4Q and going into 2026. The setup looks really good. Orders, again, were extremely high, high double digits. And our past due backlog, even with us outputting at these rates continues to hang over $2 billion. So we still have a lot of, I would say, to work with going to 2026.
Operator: Our next question comes from the line of Steve Tusa with JPMorgan.
C. Stephen Tusa: Can you guys just talk about the trend in the BA margin? It's been really strong in the last couple of quarters, maybe a tad bit weaker this quarter than we were expecting. What's the -- what are the moving parts there? And how do you feel about that going into '26?
Mike Stepniak: Steve, so super happy with the BA performance. And I think as we talked about it before, BA team still has a lot of runway. As far as the 3Q, it's really just a matter of mix between projects and products. Nothing, I would say, concerning there. And like I said, sequentially, BA will continue to expand margins. And in 2026, they have a really good -- I would say, really good setup and plan to continue to expand those margins. So no concerns on that business.
Vimal Kapur: I was going to reinforce that the BA just reinforces the overarching Honeywell strategy on how we are pivoting our business through higher growth and margin expansion. So they are ahead of the curve on executing that, and I'm very confident that other businesses are going to demonstrate the same. So we do expect 2026 to follow the trend line you have observed in BA in 2025.
C. Stephen Tusa: And then just lastly on the profile of the income statement. You guys made -- obviously, Solstice is coming out, you guys made these changes around the liabilities. Any thoughts around changing the pension accounting and how you're reflecting that in your income statement? And is that something that could happen before aerospace goes or that kind of reevaluation of the earnings format?
Mike Stepniak: So it's definitely on one of our agenda items as we go over into 2026. We're actively discussing it. We understand your concern and your thoughts on pension treatment. I would say, just based on what you see, we'll continue to simplify our balance sheet and how we report earnings to make sure you have a better visibility to cash flow conversion and EPS. So it's definitely on our agenda, but we're not ready to speak about it today.
Operator: Our next question comes from the line of Scott Davis with Melius Research.
Scott Davis: I can't -- I know this can be a little bit lumpy, but I can't remember a quarter with 22% order growth. I know you gave some per segment granularity, but was there any kind of discrete projects or anything big that generally move the needle there? Or was it more across the board as kind of indicated in your slides?
Vimal Kapur: It's more across the board, Scott. I mean I think Aero continues to do extremely well, and they're maintaining their momentum of continuing to increase their win rates and backlog. We had a strong orders growth in building automation, which flows a lot of that into the revenue stream, which you have seen. ESS orders growth were very good and also in IA. So I would say that the order growth is across all segments. Long cycle, even stronger than short cycle, but short cycle is also growing. And I do expect the trend to continue in Q4. We don't expect any substantial change in the trajectory. And that's the foundation of the growth-oriented Honeywell we have been focusing on over the last 2 years. the effort we have put in, in terms of our portfolio revitalization and focusing on the R&D spend on the right set of projects, you can see the early effect of that, and I'm confident that things will get better as we go along into 2026.
Scott Davis: Okay. That's helpful. And then just switching gears slightly. You guys have done 6 pretty meaningful deals in the last 2 years. And I think you previously said that was kind of 1% to 2% tailwind accretion in '25, I believe, somewhere in that ballpark. How does that flow through on '26 given what you're seeing in the deal models? And it sounds like you're a little ahead of the deal models on that group of transactions overall.
Vimal Kapur: Yes. So overall, Scott, I would say the M&A deals are performing very well. On an average, our deals are -- all the deals we did since I started at 12x multiple, and we are either on TBA or ahead of TBA in majority of them. And the foundational strategy we had that they will help us to grow our organic growth rates and margin expansion, they're really working very well for us. So I'm really encouraged Maybe, Mike, do you want to add some specific feedback further on this?
Mike Stepniak: Sure. So like Vimal said, I think majority of these deals starting actually fourth quarter and going into next year is becoming organic for us from a growth standpoint. And like Vimal said, they continue to be accretive and TBAs are ahead of plan, both on revenue synergies and on cost synergies. So we feel really good about these acquisitions and how they fit the portfolio, not only financially, but also from a technology complementary standpoint.
Operator: Our next question comes from the line of Amit Mehrotra with UBS.
Amit Mehrotra: Vimal, I wanted to ask if you can just talk about the pricing strategy across the organization. You made a comment recently around pricing vis-a-vis wanting to preserve or protect volume. I forgot the exact wording, but it was something to that effect. And the question is really in the context of if I look this year, revenue expectations are increasing, margin expectations are coming down a little bit. Fully understand there's mix, there's acquisition, there's timing. But just wanted to understand if there's maybe a pricing opportunity in the future that is not being exploited today, either because of the R&D investments you're making or maybe just a more surgical focus on that post the spin-off of the businesses.
Vimal Kapur: So thanks, Amit. I would say that fundamentally, our strategy has been that we want to preserve our margins. while we keep our volumes to our expectations. So that has been the North Star we have been focusing on, and we have demonstrated that for the most part. I would say that if I look ahead in 2026, pricing will become a good enabler for 2026 margin expansion. The only headwind we faced in pricing, I'll call out in 2025 was just a lag effect. It's just the timing. We're learning something and we can lag 30 days, 45 days. We are not going to face that event in 2026. So overall, I do remain confident that our model of getting our margin expansion through pricing while we're protecting our volume is really working. And some of the margin expansion we have seen in this year, the margins have been more flattish. It's primarily our focus has been growth. And there are some transitionary issue items which have happened at this point, whether it is tariff-related cost hitting us in some pockets and M&A impact, et cetera. I'm very confident those are transitionary. And we're going to see strong impact in our margin expansion into 2026. Mike, anything to add?
Mike Stepniak: That's exactly right. I mean we've been now with the teams focusing on 2026 pricing for about 1.5 months. We have a really good plan and strategy laid out across our segments and regionally. And based on everything I see, pricing will become stronger next year. And a lot of that is really driven just by tariffs stabilizing and that picture on inflation being much more clear. So the teams know what they need to deploy, et cetera. And then I would say if you just look at segments, Aero was behind on price this year. It's going to be a tailwind for them next year. And other than that, I think teams are generally caught up at this stage on pricing going to next year. So I'm really positive on price being better incrementally next year versus this year.
Amit Mehrotra: Okay. That's very encouraging. And just one follow-up related to that, just on margins. You're very clear about the trajectory for margin in Aero next year. If I look at all the different pieces, they're all kind of converging Industrial Automation kind of sticks out a little bit in terms of structurally lower margins in building automation and Aero. I think, Vimal, you've talked about maybe some self-help opportunity there, but maybe kind of talk about a little bit of the Industrial Automation margin opportunity from kind of the high teens, where you see that maybe structurally the opportunity for that?
Vimal Kapur: I mean, I look at Industrial Automation margin expansion more the normal way. We are -- as you have seen our segment announcement last evening, we are going to focus in Industrial Automation on primarily the product businesses by taking process automation out and reforming a segment of Process Automation and Technology, I think this really positions us extremely well. And on Industrial Automation, that simplification now allows us to focus on how we have executed well on a classical product business model in Building Automation, really playing that playbook in Industrial Automation. So I do expect the pricing is going to play. We've talked about it a few minutes back. On the productivity side, we will see positive effect of both fixed cost and variable cost productivity. On the variable side, we feel confident on direct materials. And on the fixed side, baselining the cost structure of the business aligned to the volumes we are seeing, we feel good about that where we sit today. So overall, the setup is good. for IA. I think the -- what I'm really focusing upon is getting the business more to the higher growth momentum compared to what we are exhibiting right now. And at the right time, we also start looking at the M&A optionality, which we can bring to the business to further strengthen our portfolio.
Operator: Our next question comes from the line of Sheila Kahyaoglu with Jefferies.
Sheila  Kahyaoglu: Maybe first question on Aerospace. And I realize some of it will fall in the next leadership team, which you'll announce later this year. How are you thinking about the biggest opportunities and the implications for margins as we think about '25 being a transitory year with some headwinds and just the evolution of OE mix next year?
Vimal Kapur: Sheila, I would say the transition which is occurring, we spoke about that in the last quarter, too. We definitely see the OE mix becoming less intense compared to how we started the year. So that certainly a benefit to us. The tariff-related pressure, which came into the cost under the margin rates of Aero would be less of a factor in 2026. And then the CAES acquisition, which was acting as a headwind for our margins in 2025 would not be a factor. In fact, it will be a tailwind. So as I look ahead, all these factors, the confidence that we bottomed out in 25% margins in quarter 2, and then we are lapping towards 26% and higher. That direction is very clear, and we are working hard to demonstrate towards that and better in '26 and beyond.
Sheila  Kahyaoglu: Great. And then maybe if I could follow up on the aftermarket, just nice acceleration there. And you called out, I think, some moderation in Q4. What kind of surprised to the upside in the quarter on the commercial aftermarket? Was it commercial aviation, business aviation, was it recurring revenue? If you could just talk about that.
Mike Stepniak: So I would say it was on the aftermarket, the growth is really broad-based. And a lot of the growth is -- demand has been very stable. A lot of the growth is also driven by us being able to unlock our supply chain. And I hope that continues. But from a demand standpoint going into fourth quarter, this business should grow high single digits on a normalized basis. So demand is still strong across the industry and not really any particular drivers with the exception of supply chain performing much better than it did in the second quarter.
Operator: Our next question comes from the line of Deane Dray with RBC Capital Markets.
Deane Dray: First, I'd just like to say congrats to the team on getting Solstice to the finish line or the starting line, depending on your perspective. We've seen multiple spins by companies, and we know all the work that goes into it. So congrats.
Vimal Kapur: I appreciate the good word there, Deane. And the teams have worked really, really hard to get it done ahead of time. Our earlier estimate was Q1 '26, and we pulled it forward by at least 1 quarter.
Deane Dray: Great. And then I missed the very beginning. Did you have any update on the process of looking at strategic alternatives for productivity solutions and services and warehouse automation? Any update on potential timing?
Vimal Kapur: We kicked off the process of strategic review. I would say that in the Q1 in 2026 first quarter earnings call, we should be able to provide you a much more definitive path forward. I think the work is in progress, but I do not have any additional details I can share with you right now. So we expect to -- when we are back in about 90 days, we should have more information for you.
Deane Dray: Got it. And then on Industrial Automation and your comment that's more of a product focus, it was interesting to see the call out about sensors being in their fourth quarter of growth, and you called out health care sensors in particular. So we're now getting some additional insight into these businesses. Can you comment on the growth opportunity in the sensor business?
Vimal Kapur: Yes. So if you look at our Industrial Automation look ahead, depending on what decision we make on our scanning and mobility business and warehouse automation business, the balance IA would be a product-oriented business where products are critical. These are related to compliance. These products are certified. And that's a fundamental model we're really working towards. And we also are conscious that IA would also become a pivot towards our U.S. onshoring growth. So all those items are in play as we are thinking ahead about the IA portfolio moving forward. Now sensors is one of the biggest business there. We have positioned in 3 verticals in sensors, aerospace, medical devices and industrial. And we have good run-up to this business in 2025. We expect to maintain that momentum in 2026. And we expect to provide more segment-specific details in IA as we have simplified the segment. And as we have more conversations and discussions in the future, I look forward to providing you more details. But fundamentally, sensors is one of the key part of the business, and we remain very optimistic on how this will perform in the times ahead.
Operator: Our next question comes from the line of Chris Snyder with Morgan Stanley.
Christopher Snyder: I wanted to follow up on the Industrial Automation portfolio. And specifically, I guess, the realignment Slide from 15. I mean, I guess it seems like the only -- or I guess the only full business line being put into the new Industrial Automation segment, is that sensing business, assuming warehouse and PSS get divested. So I guess maybe any color on how much revenue is kind of being maybe pushed out of the process solutions bucket into that new Industrial Automation portfolio? And then more broadly, how do you feel about the scale of this Industrial Automation business? And is it an area where you could be looking to add assets?
Vimal Kapur: Yes. So Chris, what we provided yesterday is more a cumulation of our 2 years of work of simplification. We have been working on our portfolio, the spins work we have done, some of the strategic reviews, et cetera. I see the definition into 3 end markets, 3 verticals is an outcome of all of that. So we are pleased, first of all, where we have landed ourselves, buildings, process and industrial. Clearly, buildings and process have higher scale today compared to industrial, to your question. And -- but we are starting from a position from which we want to build upon in industrial from a -- on a very product-oriented business. And we'll continue to see more opportunities on how we strengthen that. So more to come there. This is -- I first want to finish the unfinished task of the strategic review of scanning and mobility, warehouse automation. We yet to complete that work. We also want to focus on organic growth return of industrial automation to its baseline. And I'm confident all that is going to take shape well in 2026. And then we'll turn our focus into what else we need to add to this portfolio so that it becomes a meaningful part of Honeywell.
Christopher Snyder: I really appreciate that. I guess maybe to follow up on Building Automation. And specifically, could you provide any color or comments on the data center exposure or opportunity there? I mean our channel checks, we're hearing more and more about controls needing to be more complex as the facilities get bigger and more complex. I think historically, that has not been a big vertical for you guys, but it seems like you've done a better job breaking in there over the last year. So can you maybe talk about how you broke in and what is the opportunity?
Sean Meakim: Yes. So increasingly, Chris, data center is becoming a bigger part of our building automation business, certainly now contributing to the growth rate to a certain degree. We are -- I would say that our position in safety and security in data center is -- we are well positioned in that. You're talking about more like 2% spend of data center is in this space. So spend-wise percentages are small, but we have a good position in our fire safety systems. We have a good position in our security system. We are increasingly improving our position in the building management, and we continue to work our way through to gain more share in that market. So certainly, a lot of hyperscalers, a lot of REITs are becoming our customer. You may have seen a recent announcement also in our partnership with LS ELECTRIC on which we want to work more joint solution between electrical system and control system because we see a need for that by our customer. So we continue to improve our strategy, continue to improve our portfolio. And I remain confident that data center end market growth, which is occurring, will certainly have building automation business as additional -- as a vector to maintain their growth momentum. It's -- we were starting from a very low position, but we are certainly gaining more and more momentum there.
Operator: Our next question comes from the line of Joe Ritchie with Goldman Sachs.
Joseph Ritchie: So look, Vimal, you've done a lot from a portfolio perspective. A lot has been announced. I like this new structure. I think it very neatly separates the different businesses. I guess the question is, as we head into the Aero spin in the second half of '26, could you potentially see additional announcements on the portfolio?
Vimal Kapur: I would say that, as we mentioned a few months back that based on the current portfolio assessment, actions we have done, they are completed. But in a company of our size, you never say you're done. I think the portfolio revitalization is a continued activity. So I do expect us to do more additions, which are bolt-on to our portfolio, which fits into the core of buildings, process and industrial. And if your question is, is there any more exit plan, we feel good about the portfolio of what we have at the position we are today. These are all mission-critical parts of automation. They drive very similar common outcomes like safety, operational excellence, reliability and they really help us to gain a lot of mining installed base through our Forge platform. So that commonality we have achieved with a lot of effort. And I don't see that there will be any material change we want to make on what we own, but certainly like to consider adding more on a bolt-on basis or maybe tuck-in sometimes as we finish our spins, and we'll continue to report to you if we make any progress on that.
Operator: Our next question comes from the line of Andy Kaplowitz with Citigroup.
Andrew Kaplowitz: Vimal, maybe just back to the macro. Can you talk about the cadence of orders and revenue in Q3? Did you see any changes in your short-cycle businesses as the quarter shook out here into Q4? And are there any particular trends you're seeing by region? I think you mentioned some recovery is continuing in at least BA in Europe and China, but what are you seeing overall for Honeywell?
Vimal Kapur: I mean I would say the biggest change, Andy, I saw was that we have growth across all parts of the world. That's not happened for a while. We have a solid growth in U.S. Europe is performing more like low single digit to mid-single depending on the business. So Europe is returning to an reasonable growth. Middle East, India does always very well for Honeywell. And China is more flattish for Honeywell less Aero. But if you add Aero, we are growing high single. So it's -- I think that is a distinctive part of what we are observing. I think it's the diversity of our portfolio in the end markets we serve is certainly helping us. And our focus on growth and creating new products, mining installed base, all those strategies are coming together. And I do expect, I mentioned earlier, a good Q4 also for the orders ahead. So it's not a onetime. We do expect to maintain this momentum for the rest of the year.
Andrew Kaplowitz: That's helpful. And I know you mentioned lower energy prices have continued to lead to some delays in HPS and UOP. But as you just said, improved orders, does it give you more confidence that these businesses are going to turn higher in '26? And maybe what are your customers telling you about their CapEx expectations for '26?
Vimal Kapur: I mean if you look at our ESS business, Andy, the positives are strong demand in LNG and gas. We certainly have a lot of demand and order strength in those. We also see investments made by our customer for more localization of refining and petrochemical capacity. So we see investments made across in India and parts of Africa, parts of Middle East. So those continue there. The only lack of momentum we have seen, which we discussed before, was catalyst demand. I think it's partly impacted by the oil price, partly impacted by some overcapacity. And we do expect things to settle as the year progresses in 2026. So long-cycle demand is strong. That is evident in our orders rate of ESS. I think short-cycle demand is more flattish, but we do expect it to recover during course of 2026.
Sean Meakim: Melissa, we'll take one last question.
Operator: Our final question comes from the line of Nicole DeBlase with Deutsche Bank.
Nicole DeBlase: I guess I'll just ask one since we're running over time. I'm curious how short-cycle industrial trends kind of shaped up throughout the quarter. Did things kind of remain stable versus how you exited 2Q? Or any notable trends that you would highlight?
Vimal Kapur: I would say short-cycle trends were actually better in 3Q versus 4Q. And we do expect similar trends. As you've seen in our guide, we are not expecting any substantial change quarter-on-quarter. But we always remain prudent in our guide. We don't know what we don't know. So -- but I think an overarching theme is very similar dynamics in the end markets, which Honeywell serves in -- between quarter 3 and quarter 4.
Operator: Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Kapur for any final comments.
Vimal Kapur: Thank you, operator. As always, I would like to express my gratitude to our shareholders, our customers and all the Honeywell Future Shapers across the world, driving our stellar results in the quarter. And our path ahead is promising, and we look forward to sharing more with everyone in the quarters to come. Thank you all for listening, and please stay safe and healthy.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.